Operator: Good day, everyone, and welcome to Banco Santander Mexico's Fourth Quarter 2022 Earnings Conference Call. Today's call is being recorded. Following the speakers' prepared remarks, there will be a question-and-answer session. I'd now like to turn the conference over to Mr. Hector Chavez, Managing Director and Head of Investor Relations, who will make some opening remarks and introduce today's other speakers. Please go ahead, sir.
Hector Chavez: Thank you, operator. Good day, and welcome to our fourth quarter 2022 earnings conference call. We appreciate everyone's participation today. By now, you should have access to our earnings press release and the presentation for today's call, both of which were distributed yesterday after the market closed and can be found on our Investor Relations Website. Presenting today will be Felipe GarcÃ­a, our CEO; and Didier Mena, Vice President of Administration and Finance. Before reviewing our fourth quarter results, we would like to remind you that as previously announced, our parent company, Grupo Santander intends to increase its ownership in our bank from 96.2% to a 100%. And it is therefore our intention to delist the bank's shares from both the Mexican and the New York stock exchanges. Currently we are waiting the regulators' approval in order to proceed with the transaction, which is expected to conclude during the first quarter of 2023. As always, we also remind you that certain statements made during the course of the discussion may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties, including COVID-19 pandemic that could cause actual results to materially differ, including factors that could be beyond the Company's control. For an explanation of these risks, please refer to our filings with the SEC and the Mexican Stock Exchange. Felipe, please go ahead.
Felipe GarcÃ­a: Thank you, Hector. Good morning, everyone, and good afternoon to those of you participating from Europe. We hope you have the opportunity to enjoy the holidays and our best wishes to you and your family for 2023. We're very pleased to share with you that we closed a very successful year reporting the highest net income in the history of our bank. The result was 46% higher than what we achieved in 2021 and '24 higher than the pre-pandemic level in 2019, demonstrating our tremendous capacity to adapt and grow in complex and challenging operating environments. During the fourth quarter, we maintained solid performance levels in our core businesses, while maintaining excellent asset quality throughout the loan portfolio. In fact, during 2022, we achieved the best risk metrics we have ever had with an NPL of 1.88% and the cost of risk of 1.56%. This record low levels were due to the excellent work done by the risk area of our bank in coordination with all of our business units. Total loans grew 8 -- almost 8% year-on-year with strong performance across our entire loan book. In individual loans, we had a solid increase compared to last year, mainly due to double-digit growth in credit cards, payroll and auto loans. I would like to point out that November was our 32nd consecutive months of annual market share gains in individual loans after becoming a third largest player in the consumer loan market as of September. In terms of deposits, during last year, we continued executing our strategy to attract and retain individual clients, while letting go some expensive corporate deposits. With this, total deposits were 6.9% higher than a year ago. Also, it is worth noting that at the end of 2022, we had achieved various exposure to individual borrowers that we ever had at 41.4% of total deposits. However, we're still far from where we want to be. So we will continue to focus on it until we're able to achieve a similar mix to what relevant  in the Mexican market. We close 2022 with an ROE of nearly 16%, 481 basis points higher than in 2021. This reflects our great exposure to individuals both in terms of credit and deposits as well as the excellent risk management that I noted previously. Further, if we adjust for the excess capital that we continue to have, our ROE for 2022 would be 174 basis points higher. Also, during the fourth quarter, we continue to maintain a strong balance sheet as reflected in our solid capital ratio and liquidity position. As of this year, and following the appointment of  Santander globally CEO, I take full responsibility of the bank, which has enormous strengths as well as exciting opportunities. Iâm convinced that together with the entire Santander Mexico team and ongoing collaboration with the group, we will become the best banking option in Mexico and the primary bank for our clients by ultimately offering the best user experience in the market, both in the advisory side and in retail banking. The chart on Slide 4 show a still complex environment in Mexico with regards to the economy. While GDP expectations for the full year 2022 have improved, the forecast for 2023 has been declining more recently, as the perspective on the Mexican economy continues to be less and less optimistic. The shift in sentiment is due to a moderate outlook on private consumption and investment, along with the possible recession in the U.S during the first half of 2023. The ongoing impact of COVID-19 as well as reduced fiscal stimulus and improved monetary tightening. Regarding inflation we expected to gradually converge to its pre-crisis levels, reaching 5.3% by year end, and then declined to a level of 4.2 at the end of 2024. Given the inflationary conditions, the  rate reached its highest point of 10.50 in December. We expect it to reach 10.75 by year-end 2023, and then gradually decline to 9.75 by 2024. According to the Mexican Institute of Social Security, more than 750,000 new jobs were created during 2022, bringing total jobs to 21,272,000, of which 87% are permanent. However, as we mentioned in previous calls, most of these jobs are of relatively low quality. Other macro indicators have also shown improved economic performance. Private consumption is now 4% higher than before the pandemic, while industrial activity and investment remains practically at the same levels as 2019. That said, while 2023 will be a year with substantial challenges on the macro front, it will also be a year with significant opportunity for the Mexican economy. The ongoing rearrangement of global supply chains, known as near shoring, provides Mexico with a unique opportunity for increased domestic and foreign investment, which could translate into higher growth rates for the economy in the future. The discipline in macroeconomic policies is in place, including the fiscal monetary policy fronts, with Mexico in a favorable position to capitalize on this opportunity.  of manufacturing experts in the recovery from the pandemic, and the recent strength of the exchange rate provide evidence of the potential benefits of the current juncture for the Mexican economy. In fact, the successful recent debt issuance made by the federal government and the mix reflect the confidence and optimism on Mexico and from foreign investors. On Slide 5, you can see that system volumes, loan volumes in November maintain their solid growth trend, increasing low double-digit year-over-year. This good performance was mainly driven by continued growth in consumer loans, which increased 17% as well as improved demand in commercial loans. System deposits continued a strong rebound, growing more than 10% year-over-year with demand deposits increasing by almost 8%. Now, I will ask Didier to continue from here with a deeper discussion of our fourth quarter results. Didier, please go ahead.
Didier Mena: Thank you, Felipe, and thank you everyone for joining us today. Turning to Slide 6, our total loans increased close to 8% year-on-year, with differentiated dynamics between high margins and low margin segments. Starting with high-margin segments, credit card stood out as November was the eighth consecutive months of gains in market share, reflecting the excellent performance of our LikeU credit card among our customers. In fact, at the end of 2022, LikeU's portfolio balance already represented close to 15% of our total credit card portfolio. As a reminder, we only launched  innovative cards in September 2021. In the consumer segment, the performances of both auto and payroll products were also excellent. In fact, at the end of 2022, the auto portfolio was close to MXN 26 billion, resulting in a market share of 15.6% consolidating ourselves in the third position of the market. At the same time, we continue to make this portfolio more profitable through new and key commercial alliances together with price adjustments. On the commercial front, loan demand is also improving among mid market companies and governments and financial entities, increasing by single-digit year-on-year. It's also worth noting that corporate loan demand improved on a sequential basis increasing by a low double-digit amount.  to protect the profitability of the product, we're the bank that raised its interest rate the most during last year, causing a deceleration in the growth of this portfolio from 12.1% in 2021 to 8.8% in 2022. Taken together, we continue seeing an upturn in our higher yielding loan segments which coupled with higher interest rates should continue helping drive our margin expansion, while we maintain safe and sound asset quality. On Slide 7, you can see that individual loans grew 14% year-on-year. It is worth noting that as Felipe mentioned, we are outpacing the market in loan growth for 32 consecutive months. This has enabled us to achieve a 14.8% market share. Our mortgage portfolio continues to expand at a solid pace, increasing to 9% year-on-year and 11% organically, despite the higher interest rates that we charge during the year, and thanks to the wide range of mortgage products that we offer. Over the years, we have distinguished ourselves with an innovative and competitive offering in mortgages. We are the only bank recognized for offering a comprehensive set of banking products and services associated with our mortgages. Also, we have made substantial progress in the digitalization of our processes. Currently, more than 97% of our mortgages are being processed digitally, improving the customer experience and creating another point of differentiation in the market. Regarding our consumer products, these were mainly driven by auto and payroll, which allowed us to become the market's third largest player in consumer loans in September of 2022. In auto loans, we also continue expanding our business gaining 411 basis points of market share during the last 12 months. With 15.6% of the market as of November 2022, we have consolidated our position as a number three player in the market. We're very proud of this significant accomplishment and remain determined to move up in rank soon. With the aim of expanding the business even further, we're now very active in the use car segment of the market. Currently use car loans represent around 10% of our total loan portfolio, and we are targeting an 25% level in the medium term. Similarly, payroll loans deliver a solid performance during the quarter increasing close to 21% year-on-year, while personal loans increased close to 8%. At the same time, credit cards continue to accelerate with a solid 20.5% year-on-year increase, or 6% sequentially. These excellent results were mostly driven by our flagship digital credit card LikeU. Since its launch, we have issued over 822,000 LikeU cards exceeding our own expectations. In terms of demographics, more than 45% of our LikeU clients are junk. Less than 30 years old compared to 21% of the rest of our credit card products. I would also like to point out that nearly 13% of total billing comes from these relatively new credit cards. So our new payment and credit value offerings, we are confident that we will continue to acquire a significant number of new LikeU users with our customer base during this year, including customers participating in a recurring program cash back , we're all LikeU credit card users and almost MXN 5 million payroll customers are automatically enrolled in an already enjoying the program's benefits. Turning to Slide 8, the solid expansion of loyal and digital customers continue with year-on-year increases of 11% and close to 9%, respectively. With additional growth in loyal customers, they now represent 45% of active clients compared with 41% in the same quarter of last year. This growth reflects consistent improvements across a large number of our products and services, as we aim to be the best option for our clients and continue working very actively until we achieve these goal. Also we're very proud of our sustained improvements in particular metrics. With product sales via digital channels accounting for 62% of total sales, a significant increase compared to 56% a year ago. Digital monetary transactions also maintain an upward trend, reaching 49% of our total, with mobile transactions accounting for 98% of total digital transactions. In addition, mobile clients grew nearly 10% Over the past year to almost 5.8 million, thanks to promotional campaigns, and the incentives we offer through digital channels. During 2022 continuous improvement of our digital ecosystem remain a strategic priority, as we focus on building on key pieces that in the aggregate positively impact the end-to-end of digital experience of our customers when using each of our financial products, both mobile and web. Leveraging this experience, we continue working towards the bank's complete digital transformation. As shown on this Slide 9, commercial loans increased 3.4% year-on-year, driven by a high single-digit increase among mid market businesses and meet single-digit increase in government and financial entities. Although corporate loans decreased 1.3% year-on-year, they increased 11.8% sequentially. We're seeing encouraging evidence of growing investment in certain states in Mexico, driven by near shoring. The increased demand has mostly been in northern and central Mexico. Conversely, SME loans are still being affected by weak economic conditions, resulting in low credit demand. This category of loans decreased 8.5% year-on-year and 2.8% on a sequential basis, similar to the prior quarters sequential contraction. When we got to funding on Slide 10, total deposits increased 7% year-on-year and 9% sequentially, like the previous quarter deposits were driven by term deposits, increasing a bit more than 30% year-on-year on the back of a higher interest rate environment. Demand deposits decreased 2% year-on-year, mainly due to a 6% drop in corporate demand deposits as we continue for growing certain expensive deposits to improve our funding costs. The bank deposits from individuals increased 4% year-on-year supported by our promotional campaigns. As a result, we have been able to show credit resilience to Central Bank very tight. The cost of deposits increasing 121 basis points year-on-year, mostly in line with the system where the reference rate has had increased by 100 basis points year-on-year as of December. Turning to Slide 11. We continue maintaining very strong capital and liquidity positions. At the end of the quarter, our liquidity coverage ratio stood at 181.2%, 3% in a substantial buffer and still far above the regulatory threshold. Our core equity Q1 and capitalization ratios as of December were 13.93% and 19.38%. respectively, significantly above the minimum requirements established for systemically important financial institutions like ours. At the end of the quarter, we also maintain a sound funding position with a net loss to deposit ratio of 94.4%. As you can see on Slide 12, net interest incomes have a solid double-digit increase of 24% year-on-year and almost 9% quarter-on-quarter, Mainly driven by higher return volumes in loans and deposits, as well as the higher interest rates we've been discussing. During the quarter, Banco de Mexico increased the reference rate by one quarter and 25 basis points to 10.50%. These impacted positively are NIM, which expanded 82 basis points year-on-year to 5.28% for the quarter. Please turn to Slide 13. Net commissions and fees had a strong increase of almost 8% year-on-year. The solid performance was mainly driven by a double digit increase in insurances and cash management. In addition, purchase and sale of securities and money market transactions increased 20% year-on-year. Going forward we expect to sustain good performance levels in credit card fees as our ambitions for the lackey credit card are to continue increasing average monthly billings, while achieving a better mix of being. Turning to Slide 14. Gross operating income increased close to 18% year-on-year and 6% sequentially. This growth was driven by the solid performance in net interest income supported by a greater focus on individual loans and deposits. Higher fees were also a driver, mainly insurance fees and cash management which more than offset lower market related revenue. Moving on to asset quality on Slide 15, our NPL ratio improved 13 basis points sequentially to 1.88%, reflecting healthy trends across the loan portfolio, and the adoption of the IFRS 9 methodology. Provisions in the quarter increased significantly on a sequential basis. Due to previous quarters one-off items, the release of provisions related to some corporate clients and the recalibration of some of our risk models. At year end, our cost of risk stood at 1.56%; one quarter and 34 basis points year-on-year decrease and a two basis point sequential increase. As Felipe noted at the beginning of the call, this record low levels are due to the excellent and consistent work done by the risk area for bank as well as by each of the business units. However, we wish to note that these external results are nonrecurring as we benefited from the recovery of some loans associated with the pandemic during 2022. Thus we expect both metrics to converge to more normalized levels. Turning to costs on Slide 16. Administrative and promotional expenses decreased 3% year-on-year, but increased 6% when excluding the IPAB reclassification. On a sequential basis expenses increased by 18%, mainly driven by administrative expenses and higher personnel expenses. Expenses also rose due to depreciation and amortization costs related to our investment plan. However, thanks to our solid revenue growth and strict cost control. We managed to improve our efficiency ratio by 799 basis points year-over-year to 48% at the end of the quarter. It is noteworthy that we accomplished this despite inflation pressures. Turning to profitability on Slide 18. Net income increased 20% year-on-year to MXN 6.3 billion, mainly due to the solid increase in net interest income and fees along with disciplined in cost control. Profit before taxes rose 82% year-on-year, reflecting the strong performance of our core business. Return on average equity was slightly above 15%. 222 basis points higher than a year-ago level and close to 16% for the full year, reflecting our greater exposure to individuals both in credit and deposits. The return was also due to the excellent risk management that weâve highlighted. Additionally, when adjusting for the excess capital that we continue to maintain. ROE would be higher by 174 basis points as we also pointed out.  On the other hand, our effective tax rate was 27%, a significant increase compared with last year's period. Due to a low 2013 as Felipe noted at the beginning of his remarks. If we exclude the one-off benefit from the provisions release, ROE would have been 13.6%, still 159 basis points higher than a year-ago level. On the other hand, our effective tax rate was 27.5%, 819 basis points higher than last year's period. We anticipate the effective tax rate to be between 25% and 26% by year-end. was also due to the excellent risk management that we've highlighted. Additionally, when adjusting for the excess capital that we continue to maintain, our UI would be higher by 174 basis points. As we also pointed out, On the other hand, our effective tax rate was 27%. A significant increase compared with last year's period due to a low competitive base, and certain fiscal payments made during 2022. Before we open the call for the Q&A session, let me conclude by saying that we're pleased to have met or exceeded our financial targets for the year. This was particularly gratifying, given the challenging environment that we operated in, during 2022. We are also very proud of the strong quality of our results, and the robust core earnings expansion. Our growth in deposits was above our guidance range, even though we continue to prioritize retail over corporate deposits, a strategy that we will maintain during 2023. In terms of expenses despite persistently high inflation throughout the year, we effectively control costs, which will below our target altogether to healthy growth for retail loans, coupled with a reduction in our cost of risk and effective pest control generated solid net income growth, building on our buyers efforts to consistently deliver strong results. In summary, we continue successfully working on and advancing our strategic priorities, enhancing our products, digital offerings, distribution network and most importantly, the overall customer experience. Although we have made good progress with our bank's operational transformation, continually simplifying processes and operations, we're then nevertheless mindful that we might step up the pace in working toward a goal of building a much stronger franchise and becoming the number one bank for all our customers. If the group's tender offer is approved by regulators and succeeds, we are aware that this could be our last earnings call. I want to thank you for your support as a listed company. For all your questions, challenges for all the analysis that you have produced for all these more than 10 years. For all the investor treats . You made us a better company, and for sure a better management team. We will remain available for you. This concludes our prepared remarks. We're now ready to take your questions. Operator, please open the call for questions.
Operator:  Our first question is from Carlos Gomez with HSBC. Please proceed.
Carlos Gomez: Hi, this is Carlos Gomez. Actually, I don't have a question. I just wanted to give you thank you for all the time, as you say all the tweets, all the , all the talks that we have had over the years. You have been a great listed company and we wish you all the best and we hope that you will be listed again in the not too distant future. Thank you very much.
Felipe GarcÃ­a: Thank you very much, Carlos.
Operator: Our next question is from Gilberto Garcia with Barclays. Please proceed.
Gilberto Garcia: Hello, good morning, and thank you for the call. I had a question on your commercial book, sequential growth, there were a number of diverging trends. And I guess also, depending on the comparison being sequential or year-on-year, but we were a little surprised by the decrease in the middle market book. Do you want to confirm? Was that due to you increasing rates in that segment?
Felipe GarcÃ­a: I think that the competitive dynamics, as you pointed out, is, clients are being quite sensitive in grades. We've seen certain banks being quite aggressive. It is comfortable, so but also let me know year-on-year it's a marginal decrease sequentially. It's less than -- slightly more than MXN 10 billion pesos. Okay. So, yes, one thing I have to do with increase the competition, and also some amortization of some  
Gilberto Garcia: Okay, okay. Thank you. And you mentioned in the press release that the youâre in the process of launching the digital bank.  is that going to be, let's say, fully separate bank and follow-up can you comment on what the strategy will be to, I guess, not cannibalize your legacy bank.
Felipe GarcÃ­a: Yes, I can -- okay with that one. It's going to open bank. Open bank already operates in Europe, Argentina and a few other countries. I work extremely well, it's a fully digital  clients. We want to become a digital bank with branches. Thatâs the aim of the group in the middle -- in the medium to long run. And we want to serve clients whichever way they prefer. We have some clients that want to go to branches, we have some clients that want to be 100% digital. So open bank will be an alternative that will be 100% digital. It will be separate from the bank, it will be 100% digital, and we believe that it's going to cater to a different part of the pyramid that we are currently not serving probably as much as we would like to, given that the cost of serving digital is much cheaper, we believe that we're going to be able to be an open bank, broaden the client base.
Gilberto Garcia: Okay, thank you very much.
Operator: Our next question is from Yuri Fernandes with JP Morgan. Please proceed.
Yuri Fernandes: Thank you all. And first of all, thank you for the partnership in all those years. I have a first question regarding I guess this has been maybe one of the most asked questions in those years. So regarding our margins, right, what is the  are seeing today. We saw a very good expansion this quarter. So for every 100 bits change on rates, how you are seeing the similar upside for your . And I have a second one regarding our charge-offs in the mortgage book, when we look through our NEPL You had some benefits from higher write-offs this quarter. And when we look by segment, we saw the write-offs coming from the mortgage book. So what happened there is something specific, it's regarding to legacy portfolios, like what is driving this higher losses on the mortgage book. Thank you.
Felipe GarcÃ­a: Hi, Yuri. Good to talk to you. Regarding sensitivity donate ? I think that we remain positive, positive sensitive. I would say that the 100 basis points increase on a parallel curve would give us close to MXN 600 million, with the most recent estimates. Also, when you look at it on a NIM basis, given how the increases in the reference rates have happened, over the last few months. We think that the NIM for 2023, I would say that there's a floor in a potential increase of at least 100 basis points relative to what we saw last year. And I would say that could be within 100 to 150 basis points, the potential increase and the associated with the interest rate environment, we were expecting interest rates in Mexico still to increase slightly above the current level. And if those and we also expect that those will be maintained for the rest of the year, so that's a very positive environment for business. And Hector, you can comment on the mortgage book.
Hector Chavez: Hi, Hi, Yuri. Yes, on mortgages, you're absolutely right. There was a slightly higher level of write-downs. But there's nothing special about it. It's simply a decision managing the stock of NPL. So it's business as usual.
Yuri Fernandes: No, no, thank you, Didier, thank you, Hector, and again, thank you for the partnership. Thank you. Thank you.
Felipe GarcÃ­a: Thank you, Yuri.
Operator: Our next question is from Nicolas Riva with Bank of America. Please proceed.
Nicolas Riva: Thanks very much for taking my questions. And I apologize, I just dialed into this call. So if you already said something on my questions, I apologize for that. So first question on your 2028  bone which is scalable in October. It's really not  is kind of assuming it's going to get cold. Of course, in the past few have called this  I remember when you call the 24s back in 2019. If you were to call an  new bond. The idea here would again be that the parent company Santander Spain would buy most of the new issuance. So that's my first question and any thoughts in general in terms of the call option in October. Second question on the non-bank financials given that we have seen so many defaults and all of the companies trading at very distressed levels, do you see any real value in the sector in the sense that perhaps you would be interested in acquiring any of these companies given current valuations either leasing company payroll lender et cetera. And then finally and again, maybe you have already mentioned this in this call, but once you complete the -- once you've completed the delisting of the stock in Mexico, are you going to continue having quarterly earnings calls such as this one going forward or not? Thanks very much.
Felipe GarcÃ­a: Hey, Nicolas, we already answered all of these three questions. So, I suggest that you listen to the replay. On your first question, we obviously acknowledge the market conditions to evaluate whether makes sense or not the ball, our capital securities. We will do so again, when time comes. As you rightly pointed out, this is due on in October of this year. And also we will be open for whether a parent company takes significant part of the issuance or not, those are positions that I would say depend on market conditions I would say Okay. So, we already started the process to get approval for either calling it or a issuing a new one or just given it. We have to discuss that with a central bank, per configuration and we already started the process. So, usually takes a few months to have those approvals. So we would remain open as to what's the best for the bank, okay. If a foreign company ends up buying the significant part of the issuance, as we have done in the past, it has been at market conditions. So, in terms of Santander Mexico as an issuer, I would say that its relatively indifferent for us, because we get the right pricing in the issuance okay. Then regarding a non-bank financials, I would say that the businesses in which these companies are in, are not that attractive to us. We continue to remain open and analyze different opportunities to consolidate the market we configure ourselves as the key candidate to consolidate the Mexican banking system for opportunities that first of all make strategic sense for us. And secondly, that are accretive to our shareholders, okay. So, of have those company that have had some stress over the last few quarters. I would say that we are not that interested in their business models, but we remain open to analyze any potential opportunity to consolidate the market. And yes, your final question, if the parent company succeeds, in what well first, if the regulators approve the transaction, the parent company succeeds in doing the tender offer, this would be our last earnings call.
Nicolas Riva: Okay. Thanks very much for â¦
Felipe GarcÃ­a: We are issuers in the Mexican market. Of that and also in international markets will continue releasing information is used as a quarterly call is the one we would no longer have.
Nicolas Riva: Thanks very much.
Felipe GarcÃ­a: As I mentioned earlier we will be -- would remain available for you if you have any, any question the performance of the bank. Okay.
Operator: As there are no more further questions, I would like to turn the floor back over to Mr. Hector Chavez for any closing comments. Hector Chavez Well, thank you, operator and thanks everyone once again for joining Santander Mexico on this call. And as we have said, if you have additional questions, please don't hesitate to call us or email us directly. Thank you very much. Have a good day.
A - Didier Mena: Thank you.
A - Felipe GarcÃ­a:  Thank you.
Operator: Thank you. This concludes today's call. You may disconnect your lines at this time, and thank you again for your participation.